Operator: Thank you, ladies and gentlemen, and welcome to the Boxlight Second Quarter 2021 Earnings Conference Call. By now, everyone should have access to the press release issued this afternoon. This call is being webcast and is available for replay. The remarks today will include statements that are considered forward-looking within the meaning of the securities laws, including forward-looking statements about future results of operations, business strategies and plans, customer relationships, market trends and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties that may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in the company's most recent Form 10-K, Form 10-Q, and other reports filed within the SEC. The company undertakes no obligation to update any forward-looking statements. On this call, management will refer to non-GAAP measures that when used in combination with GAAP results, provide additional and analytical tools to understand the company's operations. The company has provided reconciliation to the most direct compatible GAAP financial measures in the earnings press release, which will be posted on the Investor Relations section of the company's website at investors.boxlight.com. And with that, I'll hand the call over to Boxlight's Chairman and Chief Executive Officer, Michael Pope.
Michael Pope: Good afternoon, everyone, and thank you for joining our second quarter 2021 earnings call. We delivered another record quarter, again, outperforming both our external guidance and internal targets, reporting $76 million in customer orders, $47 million in revenue, 29% gross profit margin as adjusted for acquisition-related purchase accounting, and over $5 million in adjusted EBITDA. For the first half of 2021, we generated $124 million in orders, $80 million in revenue, and $7 million in adjusted EBITDA. We also concluded the second quarter with a healthy balance sheet, including $7 million in cash, $21 million in inventory, $27 million in working capital, and $51 million in stockholders' equity. We are fulfilling our commitment to strong growth and improved profitability, and we are making substantial strides towards our goal to be the industry leader. We entered Q3 our seasonally strongest quarter with $48 million in Backorders, and we expect to generate $60 million in sales, $7 million in adjusted EBITDA, and positive net income. Our strong growth is a result of both a robust industry and execution on our strategy to deliver best-in-class solutions and customer support. In addition to our improving financial performance, our progress is well documented in our case studies and white papers. Since our last call, we have published another 12 customer case studies, bringing the total to 30 success stories - excuse me, to 30 success stories this calendar year. Our case studies range from schools where students with disabilities benefit from our innovative tech, such as Clelian Heights School for Exceptional Children in Greensburg, Pennsylvania to multi-campus institutions for higher education, such as Hull College in the U.K. We've also made an impact on expanding school districts like Bennington, public schools in Nebraska, which is expected to open 4 more schools within the next few years. These case studies underscore the strong impact our technology solutions have on diverse education systems and enterprise environments across the globe. In addition, we announced a 2-year Audio Visual Equipment and Accessories extension agreement with the New York State Office of General Services. The office of general services facilitates close to 1,500 centralized contracts for goods, services, and technology, including those needed by educational institutions. Our Boxlight products are available on this contract via our reseller partners, including both Minority and Women-owned businesses and Service-Disabled Veteran Owned businesses. In May, our EOS Education division joined the Google Cloud Partner Advantage Program as a service partner so that Google Cloud Educators can receive specialized professional development focused on Google Cloud tools. Our EOS education team understands what educators need to make teaching and learning more effective and continually design programs that benefit all district stakeholders, teachers, students, administrators, parents, and community. EOS is equipped to provide diverse support, including offerings designed to help schools meet federal relief funding criteria. In June, EOS launched their ESSER professional development offerings in the U.S. to help education decision-makers support all of those involved and academic progress of students. The offerings guide teachers through the best use of education technology as well as social-emotional learning strategies and ways to better connect with families. Also in June, we introduced Boxlight Financial Services, our customer financing program, developed in partnership with TEQlease Capital, providing customers more payment options when investing in our technologies. Our robust portfolio of technology solutions continue to be recognized for their cutting-edge innovation. In April, our solutions were named as finalists for 6 EdTech Cool Tool awards, including our MimioConnect blended learning platform, EOS Educator Essentials for Remote and Hybrid Learning, MimioSTEM Mobile Lab Bundle, MyStemKits Curriculum, Robo 3D Printer, and MimioClarity Classroom Audio System. In June, our MimioConnect blended learning platform won the EdTech Breakthrough Award for classroom technology innovation of the year. Also, our Clevertouch Technologies brand won the coveted Best Business Growth for 2020 Award at the InAVation Awards from InAVate Magazine. With our improved market capitalization this year in June, we announced that we were selected to rejoin the Russell Microcap Index. This membership remains in place for 1 year and provides automatic inclusion in the appropriate growth and value style indexes. We are better positioned today than at any time in our history, uniquely equipped with outstanding talent, industry best solutions, and a loyal and growing partner network. There has never been a better or more exciting time for our industry or our company, and we are optimistic and excited for the future. With that, I will now turn the call over to our President, Mark Starkey, to provide additional insight into our sales results.
Mark Starkey: Thank you, Michael. Q2 was another record quarter for Boxlight in terms of orders, revenues and profitability, and I want to take this opportunity to thank our employees, our investors, and our customers as this level of growth would not be impossible without their continued support. As Michael stated earlier, we booked over $76 million of orders in Q2. That represents a 986% growth in order intake year-on-year and is a record for Boxlight. If we include Sahara in the pro forma numbers for last year, then the organic growth rate in orders for Q2 is 184%. The growth in order intake reflects a huge market opportunity that we see in both education and corporate sectors. The value of orders booked in H1 was $124 million, which represents more than 780% year-on-year growth. Some of our key orders during Q2 in the U.S. included $15.8 million from our distribution partner, D&H, $12.5 million from our partner, Tierney, $3.5 million from Data Projections, $2.8 million from Atlanta Public schools, $2.5 million from Central NOX, $1.6 million from Howard Technology Solutions and $1.4 million of orders from Digital Age Technologies. Outside of the U.S., we received significant orders, including $2.5 million from IDNS in the U.K., $2.4 million from ASI Solutions in Australia, $2.1 million for Interactive AV Solutions in South Africa, $1.5 million from EET Europarts in Finland, $1.2 million from Unit DK in Denmark and $1.1 million from Maybach in Northern Ireland. In total, U.S. accounted for 58% of our orders booked in Q2, with EMEA accounting for 36% and the rest of the world, 6%. In terms of hardware, for our interactive flat panel market share, we remain in the top 2 in the U.K. and expect that to move to #1 very soon. We also have the #1 market share position in Ireland, Australia, Austria, Sweden, Finland, Denmark, Belgium, Switzerland, and Slovenia. In the Netherlands, Spain, South Africa, and UAE, we are a top 3 provider for IFPDs. Our biggest opportunity for significant growth remains in the U.S., where we are ranked #5 with approximately 6% market share in Germany, where we are ranked #6. In the U.S., we have hired 13 new sales heads in the past 12 months, doubling our sales force. And in Germany, we are due to recruit another 2 heads in the next quarter. This investment in our sales team reflects the market opportunity that we see and the significant room for organic growth. We are managing our inventory and working capital well and have sufficient stock on either the seas or in our warehouse facilities to fulfill our Q3 targets. In terms of end-users, we had another quarter of fantastic wins across the globe. In California, we had a significant win with a large district who chose our Mimio ProColor screens in more than 500 classrooms, worth more than $1 million. In Maryland, we continue to do business with a very large school district who ordered more than 3,000 panels in Q2 with up to another 7,000 panels and stands expected to be ordered in Q3. In Georgia, we have started to roll out of more than 600 screens to a law school district, and we expect that to grow to over 2,000 panels in H2. We have seen our STEM pipeline in the U.S. more than double in Q2, and we see growing interest for these solutions within our customer base. We also had some great wins in the corporate sector, including QIAGEN Labs, a leading bioinformatics company in the U.K. who chose Clevertouch for their new U.K. headquarters, and a Real Ideas Organization, RIO, who purchased a full range of our Clevertouch ecosystem, including UX Pro touch screens, non-interactive panels, media players and room booking screens. We've also had some great wins in the Blue light sector, including a Clevertouch solution with a SISI police force in the U.K. These are great examples of how we can sell our entire ecosystem into both corporate and education-based customers. During Q2, we sold more than 3,300 MimioConnect software licenses for Samsung products. These are 3-year term-based licenses and will create future repeat software business on an ongoing basis when they are renewed. We expect to sell more than 6,000 MimioConnect licenses during H2 as the software is attached to Samsung's hardware product sales. In total, we had $1.4 million of software sales in H1 from MimioConnect and OKTOPUS. We expect software revenues of greater than $1.5 million in H2 for these products, and we are exploring the monetization of our Clevertouch software suite, in particular, our LYNX Whiteboard Solution. Our expectation is that MimioConnect and LYNX whiteboard will be the foundation of our SaaS-based solutions and create a high-margin annuity stream moving forward. In terms of new products, we will be launching camera solutions in both our Mimio range and Clevertouch range during Q3. These will provide solutions for both the education and corporate markets with full tracking 4K ability. This is important as we see growing demand for our customers to use Zoom, Teams, and WebEx on their interactive panels. In summary, Q2 was an outstanding quarter in terms of order intake, revenue, and profitability. Our solutions are gaining traction in the market, and we continue to build out our sales channel. As Michael stated earlier, our current revenue guidance for Q3 is $60 million with adjusted EBITDA of approximately 12% or $7 million. The improvement in profitability and adjusted EBITDA percentage is due to the ability of the business to leverage higher revenues and gross margins without substantially increasing the cost base. Our trailing 12-month revenues at the end of Q3 will be greater than $172 million and our forecasted order intake for the 12-month period ended 30th of September will be in excess of $200 million. With that, I will now turn the call over to our CFO, Patrick Foley.
Patrick Foley: Thanks, Mark, and good afternoon, everyone. To further expand on what you have already heard from Michael and Mark, I would like to add a few figures to provide context to Boxlight's international operations. For revenue by country and region, our total revenue in Q2 was $46.8 million. EMEA was 39% or $80 million, of which the U.K. was 44%. The Americas, 56%, $26.2 million, of which the U.S. was $25.1 million, the rest of the world 5%, $2.5 million, which is mainly Australia. The top 10 customers represent 57% of total sales in Q2, with the single largest customer at approximately 15%, and these are based across a number of markets, namely the U.S., Australia, the U.K., Denmark, and Finland. Just over 2/3 of total sales are covered by the top 20 customers, approximately 69%, which is pretty similar position to our quarter 1 2021. For our sales product mix and gross margins, in Q2, hardware remained the largest proportion of total revenues at approximately 89%. These are largely sales of interactive flat panel displays and represented 91% of this total with the related accessories generating the balance of about 9%. The balance of all total revenues are coming from software, services, and STEM solutions. Adjusted gross margin for the quarter was 27.5%. The IFPD margin was approximately 27%, which would have been slightly higher. However, as reported previously, increased global shipping costs where we are seeing 4x normal rate have reduced margin by up to 4 percentage points. We anticipate that higher costs will remain throughout 2021. While receiving record order volume, we have experienced some supply chain challenges, including interruptions to inventory production schedules as a result of component shortages, along with continued delays in the shipping and receiving of goods. We have also been managing cost increases for both hardware and shipping, which has resulted in reduced gross profit margins. These global challenges are not unique to us. However, we believe we are managing better than most by extending our production planning and increasing prices to our customers. As of today, we have already scheduled production through the end of 2021 and planning commenced on Q1 2022, with anticipated lead times of 5 to 7 months on certain hardware solutions, which puts additional pressure on working capital. We have somewhat mitigated this by negotiating improved terms with key manufacturers and increased our credit facility with Sallyport's Commercial Finance, up to $15 million from $6 million. In Q2 2021, the education sector represented 94% of all interactive display sales, with approximately 73% of these was 75-inch and 86-inch panels, which follows the trends we have been seeing as we shift to larger screen formats. I will now review our second quarter results. Our financial results for the 3 months ended June 30, 2021 were as follows: revenue for the 3 months ended June 30, 2021, were $46.8 million as compared to $7.8 million for the 3 months ended June 30, 2020, resulting in a 497% increase due primarily to the acquisition of Sahara in September 2020 and increased demand for our solutions. Gross profit for the 3 months ended June 30, 2021, was $12.8 million as compared to $2.7 million for the 3 months ended June 30, 2020. Gross profit margin for the 3 months ended June 30, 2021, was 27.5% and adjusted for the net effect of acquisition-related purchase accounting. The margin was 29.1% as compared to 34.4% gross margin as adjusted, reported for the 3 months ended June 30, 2020. As reported in Q1 2021, gross margins have been adversely impacted by approximately 4 percentage points due to increased freight and customs costs caused by supply chain challenges associated with the effects of the COVID-19 pandemic. This is anticipated to continue throughout 2021. Total operating expenses for the 3 months ended June 30, 2021, were $11.3 million as compared to $3.5 million for the 3 months ended June 30, 2020. The increase primarily resulted from additional overhead costs associated with the acquired Sahara operations in September 2020. Other income expense for the 3 months ended June 30, 2021, was net expense of $1.3 million as compared to net expense of $0.6 million for the 3 months ended June 30, 2020. The increase in other expense was due to $0.1 million of increased interest expense associated with increased borrowings, $0.6 million of losses recognized on the settlement of certain debt obligations that were exchanged for common shares, and $0.1 million of additional gains that were recognized in 2021 upon the remeasurement of certain derivative liabilities associated with common stock warrants. The company reported a net loss of $2.2 million for the 3 months ended June 30, 2021, as compared to a net loss of $1.4 million for the 3 months ended June 30, 2020. Our U.K. deferred tax liabilities required remeasurement in the quarter the booking expense of $2.2 billion, following a change to the U.K. income tax rate in June 2021. The Finance Bill 2021 provides for an increase in the U.K. statutory tax rate to 25% from current 19% to taxpayers with profits over $250,000 - GBP250,000, I should say, excuse me, beginning April 1, 2023. The net loss attributable to common shareholders was 2.2 and $1.4 million for the 3 months ended June 30, 2021 and 2020, respectively. After deducting the fixed dividend to Series B preferred shareholders of $317,000 and the fair value revaluation deemed contribution of $367,000 following the redemption amendment with the Series B shareholders signed on June 14, 2021. Total comprehensive loss was 1.7 and $1.4 million for the 3 months ended June 30, 2021 and 2020, reflecting the effect of cumulative foreign currency translation adjustments on consolidation. With the net effect in the quarter of $0.5 million gain and $0.0 million loss for the 3 months ended June 30, 2021 and 2020, respectively. The EPS loss for the 3 months ended June 30, 2021, was $0.04 loss per basic and diluted share compared to $0.08 loss per basic and diluted share for the 3 months ended June 30, 2020. EBITDA for the 3 months ended June 30, 2021, was $2.9 million as compared to $0.6 million EBITDA loss for the 3 months ended June 30, 2020. Adjusted EBITDA for the 3 months ended June 30, 2021, was $5.4 million as compared to a gain of $0.0 million for the 3 months ended June 30, 2020. Adjustments to EBITDA include stock-based compensation expense, gains/losses recognized upon the settlement of certain debt instruments, gains/losses from the remeasurement of derivative liabilities, and the effects of purchase accounting adjustments in connection with acquisitions. At June 30, 2021, Boxlight had $7.4 million in cash and cash equivalents, $26.7 million in working capital, $155.3 million in total assets, $18.9 million debt, $51.1 million in stockholders' equity, 57.8 million common shares issued, and outstanding and 3.1 million preferred shares issued and outstanding. Our financial results for the 6 months ended June 30, 2021 were as follows: revenues for the 6 months ended June 30, 2021, were $80.2 million as compared to $13.6 million for the 6 months ended June 30, 2020, resulting in a 492% increase due primarily to the acquisition of Sahara in September 2020 and increased demand for our solutions. Gross profit for the 6 months ended June 30, 2021, was $21.4 million as compared to $4.3 million for the 6 months ended June 30, 2020. Gross profit margin for the 6 months ended June 30, 2021, was 26.7%, and adjusted for the net effect of acquisition-related purchase accounting, that margin was 28.7% as compared to the 31.6% gross margin as adjusted reported for the 6 months ended June 30, 2020. As reported in Q1 2021, gross margins have been adversely impacted by approximately 4 percentage points due to increased freight and customs costs caused by supply chain challenges associated with the effects of the COVID-19 pandemic. This is anticipated to continue throughout 2021. Total operating expenses for the 6 months ended June 30, 2021, were $21.9 million as compared to $7.7 million for the 6 months ended June 30, 2020. The increase primarily resulted from the additional overhead costs associated with the acquired Sahara operations in September 2020. Other income expense for the 6 months ended June 30, 2021, was net expense of $4.4 million as compared to net income of $0.1 million for the 6 months ended June 30, 2020. The increase in other expense was due to $0.7 million of increased interest expense associated with increased borrowings, $3.5 million of losses recognized on the settlement of certain debt obligations that were exchanged for common shares, and $0.2 million of additional losses that were recognized in 2021 upon the remeasurements of certain derivative liabilities associated with common stock warrants. As noted above, our U.K. deferred tax liabilities required remeasurement in the quarter to book an expense of $2.2 million, following a change to the U.K. income tax rate in June 2021. This Finance Bill provides for an increase in the U.K. statutory tax rate to 25% from the current 19% for taxpayers with profit over GBP250,000 beginning April 1, 2023. The net loss attributable to common shareholders was 7.6 and $3.4 million loss for the 6 months ended June 30, 2021 and 2020, respectively. After deducting fixed dividends to Series B preferred shareholders of $635,000 and the fair value redeemed - sorry, revaluation deemed contribution of $367,000 following the redemption amendments with the Series B shareholders signed June 14, 2021. Total comprehensive loss was 7.1 and $3.5 million for the 6 months ended June 30, 2021 and 2020, reflecting the effect of the cumulative foreign currency translation adjustments on consolidation, with the net effect year-to-date of $0.3 million gain and $0.0 million loss for the 6 months ended June 30, 2021 and 2020, respectively. The EPS loss for the 6 months ended June 30, 2021, was a $0.13 loss per basic and diluted share compared to a $0.22 loss per basic and diluted share for the 6 months ended June 30, 2020. EBITDA for the 6 months ended June 30, 2021, was $0.5 million as compared to a $1.8 million EBITDA loss for the 6 months ended June 30, 2020. Adjusted EBITDA for the 6 months ended June 30, 2021, was $7.0 million as compared to a loss of $0.7 million for the 6 months ended June 30, 2020. Adjustments to EBITDA include stock-based compensation expense, gains/losses recognized upon the settlement of certain debt instruments, gains/losses from the remeasurement of derivative liabilities, and the effect of purchase accounting adjustments in connection with acquisitions. At June 30, 2021, Boxlight had $7.4 million in cash and cash equivalents, $26.7 million in working capital, $155.3 million in total assets, $18.9 million debt, $51.1 million in stockholders' equity, 57.8 million common shares issued, and outstanding and 3.1 million preferred shares issued and outstanding. With that, we'll open up the call for questions.
Operator: [Operator Instructions]. Your first question is coming from Brian Kinstlinger.
Jacob Silverman: Jacob on for Brian. Congrats on the quarter. I have a few. So I may get back in the queue after. First, I wanted to touch on your guidance for the third quarter. I was curious how much of this is from demand in the U.S.? And then I wanted to get an update kind of in terms of what you're seeing for adoption outside of the U.S., what you're seeing in terms of funding for K through 12 schools, especially in Europe and elsewhere?
Mark Starkey: Mike, would you want to take that one or can I jump in?
Michael Pope: Yes. Maybe you start, and I can feel in. Yes.
Mark Starkey: Yes. So look, good question. We're seeing demand everywhere. The demand in the U.S. is exceptionally strong, exceptionally strong. But we're also getting very strong demand across EMEA as well. In terms of the Q3 guidance, I don't have the exact split in front of me. But broadly, it's probably just over 50% in the U.S. It's going to be similar to what we saw in Q2 and then a slightly lower number in EMEA. But in terms of demand, we're seeing huge demand everywhere.
Michael Pope: Yes. I think you covered it well, Mark. So yes, if you look, Jacob, if you look at what we reported for Q2, Pat mentioned that about 54% of our sales from Q2 were from the U.S. and then which flipped from previous quarters where we had a larger percentage of our sales from the U.S. and EMEA was around 39%. I think you're going to see more of the same throughout the rest of the year, where the U.S. is going to be much stronger.
Jacob Silverman: Okay. And how much of the $48 million Backorders do you expect to recognize in the third quarter?
Michael Pope: Yes, we should recognize the bulk of that, if not all that, the majority of that should be recognized within the third quarter. And of course, we're still bringing additional orders, and so there'll be sales beyond that backorder number that gets us to a minimum of the $60 million.
Jacob Silverman: Okay. One more and I'll jump back in the queue. You talked about it a bit in the prepared remarks, but with the impacts on supply chain coupled with investments in growth, I was curious if you could give us a range of outcomes for EBITDA margin in the fourth quarter, should we expect gross margin to continue ticking upwards over the next few quarters? Or do you foresee some uncertainty in - around shipping and freight costs?
Mark Starkey: Do you want to jump on that, Michael?
Patrick Foley: So Jacob, it's Pat. Yes, I think we will see the kind of margins kind of holding as they currently are. We have seen the increased shipping costs as the rest of the world kind of post-pandemic, and we know that, that's kind of continuing and likely to continue for everyone throughout 2021. There has been increased pressure on shipping costs as well even in the second part of the year so far to June. So we have been doing some mitigations, as we explained to the core. And that is actually by kind of renegotiating some of the key terms with manufacturers and also kind of doing one of the basic things and actually revisiting prices out and passing that on where possible to actually maintain support and increase those margins. So we're doing what we can to actually improve on that. I think it will be likely similar outcome with maybe a little uptick there.
Mark Starkey: Yes. I think that's a good answer, Pat. So just to add a little bit more color. So if you look at Q2, our EBITDA margin was about 12% or 11.5%. The guidance we provided for Q3 is about 12% EBITDA margin. So I think that's a safe number through the rest of the year. And then as far as gross profit margin, we held relatively steady from Q1 to Q2. And I think you can use, again, that same gross profit margin throughout the rest of the year, we ought to be in a similar place.
Operator: Your next question is coming from Jack Aarde.
Jack Aarde: Okay. Congrats on solid results and strong guidance again. So just first question, revenue, exceptionally strong, both from, obviously, Sahara business was a strong contributor, but perhaps more importantly, the organic business was exceptionally strong. In fact, also just on a combined basis, it looks like the second quarter total revenue was actually more than your historical 2019 revenue plus first half 2020 revenue combined, all just in the second quarter. So that's quite a transformation. First, can you remind me what the pro forma organic revenue guidance or organic revenue growth was for the second quarter? I think you guys said something like 140-plus percent.
Mark Starkey: Yes. Just in orders, the Q2 organic growth was 184%. That's orders, organic growth.
Jack Aarde: Got you. Okay. I appreciate the clarity there. And then second, how do you see organic growth in orders during the back half of 2021? And then would you expect a robust organic growth in orders as well to continue in 2022?
Michael Pope: Yes. So Jack, the answer is we don't expect much of a slowdown. We're seeing unprecedented demand for our solutions. And I think we're going to see a lot more of that or we plan on seeing a lot more of that. We haven't given guidance on orders per se, but we did provide that guidance of the $60 million in sales for Q3. So that's as far out as we've guided. But again, I would say based on what we're seeing today, we don't expect a slowdown. You're going to see continued uptick in demand over the next several quarters. And that's driven by a couple of things. One, we've been investing in our sales team. You heard Mark talk about that. We added 13 more sales heads in the U.S. and that's one example. We added two more heads as well in Germany as another example of growing our sales team. Number two, in the U.S., in particular, which is, of course, our strongest market and fastest-growing market. We're seeing unprecedented spending because of larger budgets supplemented by federal money. The ESSER funds coming in, which are - it's almost $200 billion that was allocated to education, we're seeing that starting to be spent. And then I would add right now, we're competing quite well in the industry with our solutions. We believe in most of the categories we compete we have the best solutions on the market. So a combination of a great team that's growing, best solutions on the market, and a lot of money in the system is resulting in this increased demand. And it's not going to slow down in a quarter or two. This is going out a couple of years and beyond.
Jack Aarde: Great. Fantastic to hear. And then actually, just a follow-up to one of the points you made on the federal funding aspect of what could really fuel sales here is last quarter, I know you guys have done - you've made a lot of moves, actually in the first half of this year in general. You've made a lot of moves to help your districts get educated on how to receive that federal funding to purchase education technology such as yours. How - is there any noticeable evidence or traction you can point to, to just kind of describe how that's trending now or progressing?
Michael Pope: Yes, we are receiving substantial orders right now where we know, in fact, the money is coming from federal funds. So the efforts we put into play are absolutely working, the support system that we have for these districts, that's working and supplementing the districts teams to be able to apply and receive funds. And we absolutely have measurable results. Now we haven't reported specific numbers or specific districts, but I will tell you that it's substantial.
Jack Aarde: Fantastic. And then just one more question for me, and I'll hop back in the queue. One, can you just review again what you said about the second quarter Mimio and Samsung licenses that were sold? And then I think you provided kind of an initial outlook or target number of licenses you expect in the third quarter? And then I'll have a follow-up.
Mark Starkey: Yes. So obviously, during Q2, we sold more than 3,300 Mimio licenses. That all relates to Samsung products. So basically, where licenses are being attached to Samsung. We gave guidance for H2. We expect more than 6,000 licenses, MimioConnect licenses to be sold again attached to Samsung. And in terms of revenues, total software revenues, we expect more than $1.5 million in H2. So we are looking at how we build out the software part of our business. We are looking at developing that SaaS model, especially around MimioConnect and also LYNX whiteboard, and that will be something we work on and develop over the coming quarters.
Jack Aarde: Got it. And then just as a quick follow-up to that. In terms of just how these licenses are being sold, how the sales are being sourced. Is Samsung playing an active role in terms of pushing these licenses more so than they were last quarter? Just can you talk about the sales channel dynamic of how these licenses are being sold?
Mark Starkey: Yes. I mean, look, we are seeing significant - yes, they are, is the bottom line. We are seeing significant opportunities with Samsung and some very large education establishments in the U.S. Obviously, the hardware is Samsung, but all of the - any Samsung IFPD sold in the education sector in the U.S. will automatically include our MimioConnect software. So that's basically how our revenues will grow along with that. We have - we did - and we announced last quarter, we did a deal with Samsung to effectively make sure we sell plenty of software into them this year. But we expect that to grow as Samsung gets more traction in the education space in the U.S.
Jack Aarde: Okay. Great to hear. Again, that's it for me, guys. Fantastic results. I'll jump back in the queue.
Operator: Thank you. [Operator Instructions]. Your next question is coming from Kyle Laflamme.
Unidentified Analyst: Great quarter. You guys had a hell of a quarter actually. I just have a real quick question. My man asked about the government funding or the release. Do you guys know when you'll be able to report revenue from that?
Mark Starkey: Kyle, thanks for the question. The - we are reporting revenue from that now. So the first group of funding was the Cares Act, so that was the initial ESSER fund. That was the $13.5 billion that was allocated back last year, March of last year when that passed. Those funds are being spent in fact, initial deadline to use all those funds was June of this year, and that got extended, but we are recognizing revenue from those funds. The next tranche was ESSER Fund II, which is the CRRSA Act, that hit end of last year, and that was another $54 billion, and we're just now hearing those funds are starting to be spent. We will recognize revenue. The last batch, of course, is the Biden plan that was put in place ESSER III, which is the American Rescue Plant Act, that was another $122 plus billion, and that's going to hit all the way through, we believe, through 2024 is what we're seeing. It may be extended. But right now, that's going to be spent through 2024. So you're going to see spending out the next several years, but we are seeing funding right now that's being spent for our solutions from that first tranche, which was the CARES Act money.
Unidentified Analyst: Awesome.
Operator: Your next question is coming from Brian Kinstlinger.
Brian Kinstlinger: Two more. Can you give us any updates on your relationship, how it's ongoing with Trox and Tierney following the recent merger, how the conversations are going there, and if you're beginning to see any benefits?
Mark Starkey: Do you want to take that one, Michael?
Michael Pope: Yes. Yes, I'll take that. So yes. So with that, that was a significant merger, as you're aware, in the industry, both of those partners are very large partners. Tierney actually was our #1 partner so far this year. Trox wasn't too far behind. And so when they merge together, that was an absolutely significant event for us. But our relationship with both is still strong. As those companies merge, which they are doing and consolidate their teams. We've doubled down our focus of supporting them. We're working on an agreement, which is in the works to where we're going to continue to support them with our Clevertouch brand is the main focus. They're still going to be able to sell our Mimio solutions as well. But we're working with them to maintain exclusivity on our Clevertouch brand in the U.S., which is an agreement that Tierney already had in place. And we expect them to put for some big numbers. And they have, as we understand, nearly 200 reps across the U.S. So they have a large sales force, and they are a force that we want to be partnered with. And so again, we expect some really big numbers out of that group and have a great relationship with them. Anything to add, Mark, on that?
Mark Starkey: Yes. I think you covered it well, Michael. I think it's - we've got a fantastic relationship. We are very much engaged right throughout their business at the exact level as well. And we're expecting great things there.
Brian Kinstlinger: All right. You mentioned on the call, also recently some press releases, Clevertouch sales to professional services. And just curious how that market is progressing and how much interest you're seeing there?
Mark Starkey: Do you mean Clevertough sales in corporate? Is that what you're referring to?
Brian Kinstlinger: Yes, for corporate, yes.
Michael Pope: Go ahead, Mark.
Mark Starkey: I mean, yes, we see huge opportunities there. We don't break out the numbers separately. We know that corporate sales were much more significantly impacted from COVID compared with education sales. But we've just recently invested in our U.S. sales force to have a separate corporate sales team. I think I actually announced that in the last quarter's results. So we're just starting in the U.S. there in corporate. But in EMEA, probably 15%, 20% of our revenues are coming from corporate. And it has higher margins in corporate. And the room for growth there is very, very significant.
Brian Kinstlinger: Congrats on the quarter again.
Operator: Thank you. [Operator Instructions]. Thank you. There are no further questions in the queue. I will now hand the conference back to Michael Pope for closing remarks. Please go ahead.
Michael Pope: Great. Thank you, everyone, for your support and for joining us today on our second quarter 2021 conference call. We look forward to speaking to you again in November when we report our third quarter 2021 results. Thank you.
Operator: Thank you, ladies and gentlemen, this does conclude today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.